Operator: Good day, and welcome to the Veritone Second Quarter 2022 Financial Results Conference Call. All participants will be in a listen-only mode. [Operator Instructions] Please note today’s event is being recorded. I would now like to turn the conference over to Brian Alger, Senior Vice President, Investor Relations and Capital Markets. Please go ahead.
Brian Alger: Thank you, and good afternoon. After the market closed today, Veritone issued a press release announcing results for the second quarter ended June 30, 2022. The press release and other supplemental information is available at the Investors section of Veritone’s website. Joining us for today’s call are both the live and digital twin versions of Veritone’s Chairman and CEO, Chad Steelberg; President, Ryan Steelberg; and CFO, Mike Zemetra, who will provide prepared remarks and then open up the call for a live question-and-answer session. Please note that certain information discussed on the call today, including certain answers to your questions will include forward-looking statements. This includes, without limitation, statements about our business strategy and future financial and operating performance. These forward-looking statements are subject to risks, uncertainties and assumptions that may cause the actual results to differ materially from those stated. Certain of these risks and assumptions are discussed in Veritone’s SEC filings, including its Annual Report on Form 10-K. These forward-looking statements are based on the assumptions as of today, August 9, 2022, and Veritone undertakes no obligation to revise or update them. During the call, the actual and forecasted financial measures we will be discussing will be presented on a non-GAAP basis, unless noted otherwise. Reconciliations of these measures to the corresponding GAAP measures are included in the press release we issued today. Finally, I would like to remind everyone that not only has this call been produced with Veritone Voice, our proprietary synthetic voice solution. It is also being recorded and will be made available for replay via a link in the Investors section of the company’s website at www.veritone.com. Now, I’d like to turn the call over to the digital twin of our Chairman and CEO, Chad Steelberg. Chad?
Chad Steelberg: Thank you, Brian. Good afternoon, everyone. [Foreign Language] As Brian noted, I am digital twin Chad. I’m happy to speak with you today and to provide an update on the progress of our business. For the second quarter of 2022, Veritone reported revenue of $34.2 million representing year-over-year growth of 78% on a GAAP basis and 2% on a pro forma basis. Over the same period, bookings in the quarter nearly doubled and our customer count grew 42%, both on a pro forma basis. As Ryan and Mike will detail shortly, the vast majority of our business tracked very well in the second quarter of 2022. However, actions taken by one of our largest customers, Amazon, impacted our financial growth in the quarter. As you can see from the balance sheet in our earnings release, Veritone is well capitalized. We have over $220 million in cash and cash equivalents with many levers of growth. We continue to strategically invest in our growth and the opportunity that aiWARE represents. We are implementing a number of cost-saving initiatives and other tactical changes to better align our business with the opportunities ahead. Artificial intelligence, in good times and bad, will continue to thrive. Our sequential and year-on-year growth in new customers and bookings in the quarter is a testament to that fact. Additionally, gross revenue retention was well in excess of 90% in Q2 2022. Consumption activity negatively impacted our results in the second quarter, primarily driven by Amazon, even while the fundamental strength of the overall business, our market penetration and our technology improved meaningfully with Ample resources, strong management and a firm commitment to the end goal, we remain confident in our business, our technology and our strategy. Now, I’ll turn the call over to Ryan, our President, to provide further details on our operational progress. Over to you, Ryan.
Ryan Steelberg: Thank you, Chad. In the second quarter of 2022, GAAP revenue grew 78% year-on-year with strong growth in both Software Products & Services as well as our Managed Services. Quarterly new software bookings of $14.7 million was our second consecutive software bookings record. And as Chad mentioned, our software customer count grew to 594, up 42% year-on-year on a pro forma basis. Within our Managed Services business, we saw strong year-on-year revenue growth as average gross billings per active customer grew 16% to a record $736,000. Let’s start the business review with commercial enterprise. Q2 2022 commercial enterprise revenues increased 78% over the prior year period. Within commercial enterprise on a GAAP basis, our Managed Services grew 16% year-over-year, and our software and services revenue grew by nearly 229%. On a pro forma basis, our commercial Software Products & Services revenues declined 8% year-over-year. While PandoLogic’s contribution was significant to the first quarter’s growth, actions taken by our customer, Amazon resulted in a significantly softer second quarter despite strong revenues and bookings from our other commercial Software Products & Services. Importantly, on a year-to-date basis, our commercial Software Products & Services are up 21% year-over-year. Commercial enterprise customer growth in general was strong with PandoLogic’s seeing over 60% year-over-year growth in its customer base, while Veritone as a whole grew its customer base 42%. Our final customer count at quarter end was 594. Within commercial enterprise, we are rapidly signing up new customers and partners to leverage Veritone Voice and our broader Veriverse offerings. Though revenue contribution to date has not been material, the contracting and engagement with numerous creators across multiple media genres confirms our expectations for this rapidly evolving market. We expect Veritone Voice and our other Veriverse offerings in aggregate to strengthen top and bottom line expansion. In Q2, we completed the acquisition of synthetic voice technology company, VocaliD to further accelerate market adoption of our Veriverse offerings. I want to reiterate customer retention across all of our business remains quite strong, well north of 90%. This strong retention and customer growth continued to fortify our business and provide the basis for our revenue growth through continued land and expand sales efforts. Shifting to government and regulated industries or GRI. GRI had a strong quarter on a relative basis. Revenue grew 94% year-over-year to $871,000. The diversity of revenues and the strong bookings gives us further confidence in our go-to-market strategy and product fit. Our activity with various government and law enforcement agencies as well as across the broader legal landscape continues to build momentum. At the state and local level, our products have tremendous product/market fit and new LEAs are being added almost every day. In California alone, we have 169 agencies using our software every day. Nationwide, we have over 287 LEAs leveraging our software. At the state and federal level, sales cycles are longer, but our bookings and pipeline of new business continues to build. On the energy front, demand has accelerated since we officially launched our iDERMS product suite and presented our performance metrics against the California independent system operator and the results of our deployment at Tampa Electric Company. We are now actively engaged in generating revenues from multiple operators, each with significant potential for expansion. In general, Veritone’s business remains strong. Our customer growth, record bookings and increasingly diverse revenue base, all speak to that reality. Even within the hiring markets, where the size of Amazon’s workforce overshadows many, we continue to see extremely strong revenue growth. In fact, excluding Amazon, PandoLogic’s revenues were up over 50% year-over-year. We know we have a significant opportunity to increase our market share, and it is up to us to deliver the right solutions at the right time with the proper amount of support to maximize that opportunity. We remain focused and dedicated to executing on our strategy. Now, I would like to hand the call off to Mike Zemetra, our CFO, to go through the financial results and guidance in more detail. Over to you, Mike.
Mike Zemetra: Thank you, Ryan. Q2 was a mixed quarter. On one side, we continue to execute across our business with software customer growth of 42% year-over-year, record bookings up 199% year-over-year, customer gross retention in the high-90 percentiles and excluding Amazon, net customer retention well in excess of 120% year-over-year. Atop this, we ended Q2 with over $220 million in cash, $157 million of which is unencumbered and instituted cost-saving measures in Q3 2022, most notably curtailing hiring that when aggregated, gives us 10-plus years of cash at this year’s projected burn rate. As mentioned, we did face some headwinds in Q2 with our largest customer, Amazon, which ran initiatives to reduce its hiring across its fulfillment business beyond the levels we had previously forecasted. Our updated second half 2022 guidance reflects the current estimated run rate of the Amazon hiring consumption. Also, we closed a small, but strategic acquisition at the end of the quarter that we believe will accelerate our synthetic voice strategy. During my remaining prepared remarks, I will discuss our Q2 year-over-year performance in KPIs on a pro forma basis as if we own PandoLogic’s since the beginning of 2021, our Q2 cash position and working capital and Q3 and full year 2022 guidance. Now, turning to Q2 2022 financial performance. Q2 revenue of $34.2 million was a record second quarter, up $15 million or 78% from Q2 2021. Software Products & Services revenue increased $12.8 million or 229%, a Q2 record of $18.4 million, driven by the addition of PandoLogic coupled with year-over-year increases in our legacy solutions. Managed Services revenue grew $2.2 million or 16%, driven largely by growth in content licensing, which rose 42% year-over-year, driven by the overall increase in digital content usage and in live events coverage as we return to pre-COVID conditions. On a pro forma basis, Q2 2022 revenue was up 2% year-over-year driven by the 16% increase in Managed Services, offset by an 8% decline in Software Products & Services. During Q2, key customer metrics drove improvements across our Software Products & Services, including ending customers up 42%, customer gross retention in the high-90 percentile and net retention, excluding Amazon, up over 120%. Veritone legacy Software Products & Services was the largest beneficiary, increasing 70% year-over-year. Offsetting this was a decline in ARR of 8%, driven in large part by a $5.6 million or 39% decline in PandoLogic business. Driving PandoLogic’s decline was Amazon, which reduced its Q2 hiring consumption as a result of overhiring in Q1 2022 amidst COVID-19 constraints, coupled with initiatives to reduce overall headcount in its fulfillment business in Q2. As a percentage of our consolidated revenue, Amazon fell to 11% in Q2 2022 as compared to 31% in Q1 2022. On the positive side, Q2 2022, non-Amazon revenue and customer growth for PandoLogic was over 50% year-over-year. Reaching less than 5% of applicable market share, we see large growth opportunities for our PandoLogic solutions, and we’ll continue to aggressively invest in its growth in the near and long-term. In Q2, we generated strong software metrics. New bookings were $14.7 million, up 199% from pro forma Q2 2021, gross revenue retention in the high 90 percentiles, ending customers of 594, up 42% year-over-year on a pro forma basis. Q2 AAR of $187,000 down 8% from a pro forma $203,000 in Q2 2021, driven by the decline in Amazon. And excluding Amazon, net retention continued to be over 120%. In Managed Services, advertising gross billings per active customer increased to $736,000, up 18% over Q2 2021. Overall, Q2 2022 advertising revenue was fairly flat year-over-year, largely driven by the timing of new and larger event-driven campaigns by key customers in the first half of 2021 versus first half 2022. In late Q2, we acquired VocaliD for a total of $3.6 million, which consisted of $1.6 million in upfront cash and $2 million in deferred cash payments to be made in 2023. VocaliD will serve as our synthetic voice platform, which will greatly improve the speed and adoption of our synthetic voice products and services. For 2022, we expect VocaliD to generate less than 1% of our consolidated revenue and a relatively neutral impact on our forecasted 2022 non-GAAP net income guidance. Q2 2022 non-GAAP gross profit reached $27.5 million, improving $13.6 million or 97% from Q2 of 2021. Gross margins expanded to 80% in Q2 2022, up compared to 73% in Q2 2021, both benefited from the entire quarter inclusion of PandoLogic as well as the year-over-year increase in software revenue from legacy Veritone services. As previously discussed and as we continue to scale over the next 12 months to 24 months, including the full impact of PandoLogic, we expect total gross margins to reflect PandoLogic seasonality, which is slowest in the first half of the year and greatest in Q4, improving sequentially throughout the year and for total gross margins to continue exceeding 80% throughout the remainder of 2022. On a pro forma basis, Software Products & Services totaled 54% of revenue in Q2 2022 versus 60% in Q2 2021 pro forma, driven by the year-over-year decline in Amazon. Q2 2022 pro forma gross margin was slightly down year-over-year at 80% as compared to 83% in Q2 2021. Q2 non-GAAP net loss was $7.2 million as compared to non-GAAP net loss of $3.9 million in Q2 2021. Driving this increase were recent growth investments in our operations, namely in hiring of engineering, sales and marketing resources to accelerate 2022 and long-term revenue growth. In addition, we are spending roughly $5 million more per year in new employee retention initiatives and launching new infrastructure systems to enable us to scale more efficiently, including Oracle and Workday, each of which launched in Q2 2022. During Q2, core operations posted a non-GAAP net loss of $1.5 million compared with a profit of $1.4 million in Q2 2021, reflecting the recent investments we’ve made. The corporate non-GAAP net loss was $5.7 million, relatively flat when compared to $5.3 million in Q2 2021. The slight increase was driven principally by higher G&A costs to support our growth year-over-year, coupled with first year full Sarbanes-Oxley compliance costs. As a percentage of revenue, corporate costs dropped from 28% in Q2 2021 to 17% in Q2 2022. On a pro forma basis, the $7.2 million Q2 non-GAAP net loss compares to a $2.0 million non-GAAP net profit in Q2 2021, reflecting lower revenue and margin from Amazon in Q2 2022 coupled with a higher operating cost base. Our hiring plan for 2022 was front loaded in the first half of 2022, which will also have a heavier impact on forecasted 2022 bottom line results. Turning to our balance sheet. At June 30, 2022, we held cash and restricted cash of $220.5 million, including approximately $64 million from Managed Services customers for future payments to vendors. This compares to $254.7 million at December 31, 2021. The six-month $34.2 million net decrease reflects net cash outflows of $30.6 million from acquisition-driven and financing activities, including approximately $14.4 million cash outflows for PandoLogic’s 2021 earn-out, $9.5 million in restricted stock net settlements and $6.9 million in cash paid for investments, acquisitions and fixed assets. Cash flow from operations of negative $4.3 million over the first half reflects the $12.3 million first half non-GAAP net loss, partially offset by net positive working capital changes from operations. Working capital will continue to fluctuate depending on the timing and due dates of payments in any given period. Our unencumbered cash at the end of Q2 2022 was approximately $157 million, which at today’s projected 2022 burn rate is sufficient to operate the existing business and support growth for the next 10 years plus. We ended June 30, 2022, with 36.1 million shares outstanding. Turning to financial guidance for Q3 and full year 2022. As previously discussed, Amazon’s recent hiring actions had a greater-than-expected impact on us in Q2 2022, which we are estimating to continue for the remainder of this year. As a result, we are updating our previous top and bottom line guidance for the year, including Q3 2022 to better reflect this estimated impact of Amazon on our results. With that backdrop and a reminder that PandoLogic has significant revenue seasonality with the lowest consumption in the first half of the year and accelerating throughout the second half of the year, we expect Q3 2022 revenue to be between $34 million and $36 million, representing an approximate 54% increase year-over-year at the midpoint versus Q3 2021 GAAP and relatively flat versus Q3 2021 pro forma. Q3 guidance includes a full quarter of our recent acquisitions which is projected to represent approximately 2% to 3% of Q3 consolidated revenue. We expect Q3 2022 non-GAAP net loss to be between $7 million and $6 million as compared to Q3 2021 non-GAAP net loss of $2.3 million, but slightly down versus Q2 2021 pro forma non-GAAP net income of $3.9 million reflecting the decline in Amazon, coupled with the stepped-up investments in people and infrastructure costs to support our near- and long-term growth. For full year 2022, we expect revenue to be between $150 million and $160 million representing a year-over-year increase of 35% at the midpoint on a GAAP basis and near 5% increase on a pro forma basis for 2022. The primary driver of this updated revenue outlook is Amazon, with our guide now reflecting a lower state of Amazon hiring consumption throughout the remainder of 2022. We expect our combined Software Products & Services revenue growth to be an approximate 50% year-over-year on a GAAP basis. Full year 2022 guidance includes our recent Q2 acquisition which is projected to represent approximately 2% of full year 2022 consolidated revenue. We expect full year non-GAAP net loss to be between $10 million and $15 million depending on the timing and the overall mix of our revenue. This compares to a non-GAAP net profit of $6.8 million in 2021. Before I close, we plan to be speaking at the BofA SMID CAP Ideas Conference tomorrow, August 10. If you’d be interested in scheduling a one-on-one, please reach out to Brian or your BofA representative. Operator, now we would like to open up the call for questions.
Operator: Thank you. [Operator Instructions] Today’s first question comes from Koji Ikeda with BofA. Please go ahead.
Koji Ikeda: Hey guys. Thanks for taking my questions. Just thinking about PandoLogic and how much it’s kind of driving the guide down here. I know it comes out in the Q, but I was wondering if you could just kind of give us on an absolute basis, what the revenue contribution from PandoLogic was in the quarter. Kind of the back of the envelope math looks like about $3.7 million. Is that about right? And then just kind of getting more granular, what was the Amazon contribution, so we could start parsing that out and looking at the other side of the business that was growing faster for Pando.
Mike Zemetra: Yes, I’ll take the – maybe the second part of that question. We said Amazon represented about 11% of our consolidated revenue for Q2. And we don’t specifically break out PandoLogic from the legacy business. But historically, we said that Amazon represented anywhere from, call it, 70% to 80% of that business. However, with the growth of the non-Amazon revenue, it’s substantially lower now.
Koji Ikeda: Got it. Thanks, Mike. So the Amazon part was 11% of total revenue. Got it. Okay. So thinking about the profitability profile of the business and the net income guide down, it looks like that’s pretty much attributable to Amazon. Is that the right way of thinking about the net income guide down? But more so kind of thinking going forward, when can we potentially expect you guys to get profitable again? What needs to happen either from a Veritone business, aiWARE or PandoLogic business for you guys to get profitable net income? Thanks guys.
Chad Steelberg: One I want to jump on that. Mike, why don’t I take a little bit more on the strategic side and then Ryan can jump in operationally from – when you think about our business and how we’re investing, I mean, this year at the tail end of last year, we had just over 500 employees. And today, we’re sitting at just over 700. So we continue to significantly invest in both sales, marketing and technology investment in the company because our strategy is working. If you look at our net retention and our growth metrics on the business, net of Amazon, one customer, they’re as good as we’ve seen in our past and record-breaking in some cases. 199% growth in total bookings, 42% customer growth, 60% CAGR over the past five years. And so we know what we’re doing is working. We’re continuing to be diligent. But at the same time, right, we’re also being conscious of macroeconomic environments. We are conscious of what’s happening in Amazon, and we’re being smart about how we’re managing the business and realigning it for growth. And so again, I don’t want the Street or you, Koji, to think in any way that this in any way reflects that our strategy hasn’t been on point. I think that we just got caught a little bit blindsided by how strong the negative impact was on Amazon hiring. And to a testimony to the PandoLogic team, we’ve recovered and done a phenomenal job in growing other sectors of that business very quickly. So Mike?
Mike Zemetra: Yes. And then if you take a step back, I mean our commercial enterprise business is incredibly profitable, including PandoLogic. And we’re continuing to invest in long term across the regulated industry and the enterprise part of our business. And we’re not going to give any guide in terms of 2023, but we’re going to continue along the same strategy, and it should turn the ship here shortly, if that makes sense.
Ryan Steelberg: And I would just add that, I think the investments that we’ve made in the human capital side and on the product side, I feel very confident that we have the right product mix and both in production today and frankly, that’s emerging right now into full production, that I don’t think any potential curtailing of our internal hiring pace is in any way going to disrupt our revenue potential growth as it relates to our products and services. So I think our – again, a testament to our increased customer counts are very high net retention rates coupled with what frankly has already been built or is being here shortly, very, very bullish on the future growth prospects for every other area of the business and also including Pando, their continued excellence in growing their non-high volume sellers and really say, non-Amazon business is incredible.
Koji Ikeda: Got it. Thanks guys. Thanks for taking the questions.
Chad Steelberg: Sure. Thank you.
Operator: And our next question today comes from Darren Aftahi with ROTH Capital Partners. Please go ahead.
Darren Aftahi: Hey guys. Thanks for taking my questions. Two, if I may. Just on the record bookings. Can you guys kind of dive in a little bit deeper into kind of where you’re seeing strength there. And maybe when that revenue is actually get recognized and manifest in the business? And then, Ryan, I think you said advertising was flat. I’m just curious; every other kind of ad tech company has kind of talked about this disastrous cadence. So I’m curious to understand the cadence between April and June and maybe into July, if you’re actually seeing your business soften further if that’s taken into come in the guidance going forward? Thanks.
Ryan Steelberg: Yes. Our ad business has been very strong and resilient. Our actual gross billing per customer are up. And we’ll – I think that some of the details we provided in the tables. More importantly, I could tell you that as of two days ago, our ad business has booked already more total revenue of billings than all of last year. And a couple of primary reasons why our ad business is more resilient is, a, we have a very differentiated solution. Again, because of aiWARE, we have a very unique offering where only a few companies like us can really do contextual-based insight targeting to influence through the creative economy. I don’t want to get too technical there, but it’s a clear product differentiation. Number two is our business is performance marketing. So unlike a lot of other brands, CPM-based or impression-based buyers, almost all of our spends – or super majority of our spend is performance-based. And it just shows the testament that we – as long as we’re delivering performance, we’re able to maintain those bookings. The only negative side was – the only downside at all if I’m trying to find anything in the ad business was just some of the start-up businesses that we always like to try to nurture considering the pullback in venture spending had it. But we had increased growth in all of our large – increased spend from the majority of our larger customers in the ad business. So very, very pleased, and I expect continued strong performance.
Mike Zemetra: Maybe I’ll take the bookings one. I mean, Darren, it was across the board. It wasn’t one specific area, just really representing the strength of our business. And you could probably expect about 60% of that or so to be realized over the next 12 months.
Ryan Steelberg: In Veritone Voice, Darren, and some of our new technologies are part of that booking.
Darren Aftahi: Thanks, Ryan.
Operator: [Operator Instructions] Our next question comes from Chad Bennett at Craig-Hallum. Please go ahead.
Chad Bennett: Great. Thanks for taking my question. So it looks like relative to the prior bookings question, you actually did see a pretty decent uptick just backing into numbers. I know you don’t like to disclose kind of what Pando was. But backing into numbers on aiWARE sequentially. So was that – from a revenue standpoint, I should say. So was that a function of – again, kind of what drove the aiWARE growth sequentially from a revenue standpoint?
Ryan Steelberg: Well, from a bookings, as we stated earlier, it was primarily through increased selling and the mobilization of commercial enterprise products and services and software and also an uptick in bookings on GRI between primarily those two elements.
Chad Bennett: Okay. So but the GRI business, again I’m talking sequentially was up modestly sequentially. So it seems like it was a lot of other commercial-related sectors that drove aiWARE revenue growth sequentially. Is that what you’re saying?
Ryan Steelberg: Commercial enterprise, yes, was the majority or the lion’s share of the bookings.
Chad Bennett: Okay. And then second question, just on – when we’re thinking about the Pando business model and margin profile when you acquired it, is that still at the current run rate – is that still a 50% EBITDA margin business?
Mike Zemetra: Yes. I could take that one. So we have made investments into PandoLogic, namely on sales and marketing and R&D. So we’re running slightly below that 50%, but it’s still incredibly profitable.
Chad Bennett: All right. Thanks for taking my questions.
Mike Zemetra: Yes. Thank you, Chad.
Operator: And our next question comes from Pat Walravens of JMP Securities. Please go ahead.
Pat Walravens: Great. Thank you. Maybe two, maybe I’ll start with one for Mike. So Mike, when does – how much debt is there? When does it come due? And should we be worried about you repaying it?
Mike Zemetra: Yes. Good question – yes, $200 million, it’s convertible debt. We issued the notes in November of last year. They’re five year notes, interest-only, and they’re convertible about $36 a share. So no covenants, nothing crazy, so it’s all sitting in long term, but nothing to worry about in the near term.
Pat Walravens: Okay. And right now, you have $150 million in unencumbered cash, right? So I think we...
Mike Zemetra: $157 million, yes.
Pat Walravens: I just want to hear you guys are going to start generating cash, right, so that we don’t have to worry about this.
Mike Zemetra: Of course.
Pat Walravens: And then secondly, Chad benefit of 2020 hindsight, and obviously, that’s a big caveat. But what would you have done differently around Pando.
Chad Steelberg: I think we all went into Pando transaction with our eyes wide open. We knew that they had a significant customer concentration in Amazon. We knew that they were investing heavily, and we were helping them invest in expanding their business line into differentiated new customers that were smaller and obviously, you’re going to have less revenue per customer, but you’re going to get a lot more tonnage in the TAM through that. And so we knew exactly what was expected. And to be honest, I think at some point, we knew that Amazon was going to slow. I think the surprise for us is just how quickly they hit the brakes on that. But that business is still massively profitable. It’s a phenomenal acquisition for us even in today’s economics, and we’re extremely bullish about what that looks like going forward. So I don’t think, Pat, there was any real surprises. I think we structured the transaction really well on the earn-out side and incentivize the management team and protected the Veritone shareholders with making sure that we are all aligned and there was some protection in terms of what the net-net cost would be in the event an Amazon or another catastrophe might have hit the business. So at the end of the day, again, profitable business going well. I think we still purchased it nicely. They’re integrating aiWARE technology and continuing to innovate. So I’m very excited about it and do it again in [indiscernible].
Mike Zemetra: And remember, and I’m not sure this came out on the call. I mean it’s certainly in the earnings release. The software side of the business was up 21% first half sequentially – or first half over first half. And PandoLogic was up still 18%, 20% as well. And remember, in the first half, we got a benefit from Amazon over-hiring, which they corrected in Q2. It was just a larger correction than what we anticipated. So the fundamentals of the PandoLogic business are still performing over the first half of the year. We do expect there to be some incremental lower consumption in the back half. But this thing is still rocking and rolling.
Ryan Steelberg: Let me add one comment real quick about that also is in terms of market share, right, on the programmatic side, we believe that the programmatic has already – has really only touched about 5% of the market opportunity. So it’s a very high ceiling of growth for that opportunity. And then obviously, that’s a testament or reinforced by our ability to grow unique customers over 50%.
Pat Walravens: Okay. And then my last one on this topic is so on – in the press release, the purchase price was $150 million, but that was cash stock and an earn out, right? So Mike, can you remind us how that was initially structured? And what did it really work out to? At the end of the day, did you guys really pay $150 million?
Mike Zemetra: Yes. So I mean we’ll find out by the end of this year, but it was $85 million upfront, and then the remaining $65 million was based upon earn-outs in 2021 and 2022. They fully hit their earn-out in 2021. So we’ve got about $43 million of the $65 million to be paid out based upon their performance this year. And it’s literally – it’s a waterfall schedule from 0 to $21 million to $43 million depending on their end of year results. So intuitively, if they end up missing, which is why we put in this protection around Amazon, that purchase price would be significantly lower.
Pat Walravens: Okay, thank you.
Mike Zemetra: Yes. Thanks Pat.
Operator: And ladies and gentlemen, this concludes your question-and-answer session. I’d like to turn the conference back over to Chad Steelberg, for any final remarks.
Chad Steelberg: Thank you, Operator. We are pleased with the overall execution of our business. Our customer growth, retention and new bookings, all speak to the fundamental strength of the business. We have ample resources in terms of capital and talent to pursue and execute against our growth strategies. Our confidence in aiWARE is backed by our strong customer metrics, and we remain steadfast in our strategy. Despite the ongoing geopolitical and macroeconomic volatility that surrounds all of us today, without question, the future of enterprise is going to be powered by artificial intelligence, and we believe Veritone will play a vital role in unlocking that potential. Thank you for joining us on today’s call. Good day.
Operator: Thank you. This concludes today’s conference call. We thank you all for attending today’s presentation. You may now disconnect your lines, and have a wonderful day.